Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Prada Group Full Year 2018 Results Conference Call. [Operator Instructions] .
 I would now like to hand the conference over to your speaker today, Miss Alessandra Cozzani, Chief Financial Officer. Please go ahead. 
Alessandra Cozzani: Thank you. Good afternoon, everybody, and thank you for joining Prada full year 2018 Financial Results Conference Call. I am Alessandra Cozzani, the group's CFO. 
 First of all, let me introduce, as usual, the executive team on today's call. Our Chairman, Mr. Carlo Mazzi; our CEO and founder of the company, Mr. Patrizio Bertelli; and I'm also very pleased to introduce to you for the very first time, Mr. Lorenzo Bertelli, who is in charge of Marketing and Communication for the Group.
 During the call, Mr. Bertelli will first give us an overview of 2018 and an update on the business. And then, I will go through the financial numbers. Afterwards, Lorenzo will talk about our digital transformation and technology projects. And Mr. Mazzi will share with us some final remarks before the end of the presentation. 
 After the presentation, we all will be very pleased to take your questions. Mr. Bertelli, over to you. 
Patrizio Bertelli: Good afternoon. So what happened in 2018? Well, our business and our work was mainly designed to consolidate all the work we've done in 2017, so we achieved a positive sales trend across all regions and products. And in particular, a very good performance of full price sales was recorded. Also we shouldn't forget all the uncertainties that were present in many markets and Europe in particular, where both England and France were pretty difficult. We worked on different fronts, distribution channels, merchandising and communication. We invested in creating infrastructures and production facilities, which are absolutely fundamental for us to achieve our quality standards and suitable deliveries. And most importantly, we started full technological developments, both on the industrial side and in terms of Digital Communications. Another fundamental activity for us is research and training. And in particular, I'm referring to new human resources. Because we certainly need to train new technicians, because otherwise the average age of the sales force or the workforce would be far too high. 
 We have introduced several new activities and amongst the most strategic choices we have made -- may I go back to our decision to cancel markdowns altogether. So we decided to stop doing markdowns, end of season sale because of the market complexity. We're all familiar with this. And we are sure this strategy will yield very good results in the medium to long run in terms of brand soundness and commercial performance. 
 Also, we continued our activities in pop-up stores and all new initiatives designed to renovate and refresh our stores. We're actually transforming our stores to be more dynamic and to be more consistent with the new generation of customers we're serving.
 So with this, start merchandising activity, we're not just emphasizing our brands in individual markets but also, we want to provide a consistent image to newer consumers. And it's not just millennials we're talking to, it's Generation Z that's actually coming up of age. And so as they grow older, they are likely to become luxury consumers more and more frequently. So we started working, not just for supporting the stores activities there, but also we started several new communication projects. We organized the events to enhance our brand experience, and we want to highlight and continue with this kind of event in 2019. As to the other events we're engaged in, I'm sure you're all familiar with the America's Cup. We sponsored the America's Cup, and we are actually -- continue working on the whole project, which concerns the challenge itself. But also we are presenting the Prada Cup, which starting in 2021 is going to replace what used to be known as the Vuitton Cup, and it's going to be with the Prada Cup from now on. So we are actually committed to a lot of work on the organizational and product-related, and mid-image related and communication front. And all of this is geared to enhance growth and to support our [indiscernible]. However, we saw we needed to work to lay down the foundations to accommodate this further development. So we are confident that in 2019, we'll have excellent results and performance. Thank you, and now let me give the floor back to Ms. Alessandra Cozzani, she is going to present the financials. 
Alessandra Cozzani: Thank you, Mr. Bertelli. Let me now go through the key financial figures for the Group. Net revenues for the year reached EUR 3.1 billion, up 6% year-on-year at constant exchange rate. ForEx headwinds had impacted sales by 300 basis points. So as a consequence, revenue in the year was up 3% at current exchange rate. Growth in the year was mainly driven by full price sales, following our strategic decision to reduce markdown sales. And we saw organic growth across all countries and products. EBITDA for the full year was EUR 551 million or 17.5% on margins, down 6% from last year. EBIT was EUR 324 million or 10.3% on revenues, down 10% compared to last year. 
 As you can imagine, it's not just revenues that have been impacted by ForEx headwinds. Margin have also been significantly diluted by ForEx. Excluding this factor, the underlying EBIT margin was stable. And this was a satisfactory result, taking into account that we have increased our investment in brands and organizational structure. I will explain in more detail in the latter part of the presentation. 
 Net income for the period was EUR 205 million. The tax rate was slightly above last year, but I would like to share with you a good news. In the recent months, we have started discussions on patent box with Italian tax authorities, and we have made a lot of good progress on it. We are reasonably confident to sign the agreement in the second quarter of 2019. As a consequence, the amount of the patent box benefit will be entirely recognized in the P&L of 2019. And according to our internal estimation, it will be in the range of EUR 80 million to EUR 90 million.
 Turning to our balance sheet and cash flow, our financial structure remains very strong as usual. Operating cash flow reached EUR 365 million, which enable us to send final for the capital expenditure during the period and to contribute to EUR 198 million of dividend payment. 
 The increase in working capital compared to last year is in line with our merchandising strategy to maintain a wide and deep inventory level in our stores. Net financial position ended negative at EUR 314 million, and the gearing ratio remained at the very low level, 11%. Now let's look at the net sales trend through the different dimension of our business. 
 Let's take net sales by channel. We have seen a good performance in retail. In this channel, sales were up 7% at constant exchange rate. Full price sales trend was pretty stable across the 2 semesters and was consistently up, above the 7% of all the retail channels. Ongoing strategic reduction in markdown sales to preserve brand equity impacted sales by 2% in H1 and 4% in H2. Now markdown sales represent about 7% of our total retail sales and is expected to go down further. E-commerce continued to grow by strong double digits, thanks to our successful rollout of our e-commerce platform. In wholesale, we are pleased to say that the e-tailer sales have still grown despite the strong comparatives from prior year. We continue to make a selective approach to find suitable wholesale partner in line with our quality and standard. 
 Let's look at slide 13, which shows net sales by geography. We saw positive trends across all regions. Europe remained resilient with 3% growth despite the negative impact from store closures since November, relating to the protest in France and consequently decline into its flows. Local consumption drove the growth during the year, also thanks to the various retail activities that we held in the stores. Sales in the American market increased by 4%, mainly driven by local consumption, while tourist spending weakened in H2 on the back of the strength of the U.S. dollars. 
 Strong performance in the Far East was driven by Korea and Greater China with some slowdown H2, mostly attributed to Hong Kong and Macau due to the devaluation of the renminbi. Strong trends were also shown in Japan, mainly thanks to domestic consumption. And we also saw very good trends in the Middle East with stronger results from all countries in the region.
 Let's turn to net sales by product. We have seen positive trends across all product categories in 2018, which also reflects the delivery of successful product launches.
 Leather goods grew 6%, thanks to solid and consistent retail growth at Prada across 2 semesters. This good performance was supported by the ongoing refresh of iconic products as well as the successful reception of our new collection with the objective of effectively balancing the product portfolio in all strategic price ranges, and we are seeing good result. Ready-to-wear performance was strong, up 10% in organic growth with positive trends across all brands and markets. Within this segments, our lifestyle collection outperformed, also thanks to the positive response to the relaunch of the Linea Rossa collection. Positive retail growth was also shown in footwear with successful reception of sneaker and lifestyles collection for both men and women. Thanks to our strong sportswear identity, and our long-standing industrial expertise.
 Let's now turn to net sales by brand. Continuing the positive trend, which began in the last months of 2017, the Prada brand ended the year with the growth of 7% at constant exchange rate with positive trends in all market and all product categories. Miu Miu also remained in positive growth with ready-to-wear up 7%, and the other 2 product categories which confirmed the same level of last year. Sales performance for Church's was impacted by the restructuring of the wholesale network, while the retail trend remained positive. 
 Turning to slide 16. Let's take a look at gross margin development. As you can see from the slide, gross margin maintained a very high level at 72%, notwithstanding the negative impact from exchange rate, including hedging during the period. Excluding this, the gross margin was stable compared to prior year. I wanted also to mention that our focus on increased full price sales has produced a positive contribution to gross margin that was upset by our ongoing investment in supply chain, which we deem are crucial to enhance our competitive advantage in terms of quality and time-to-market.
 Let's have a look to -- at the EBIT-margin evolution during the period. As I mentioned before, EBIT margin had been significantly impacted by ForEx headwinds this year and the effect, including hedging, was a dilution by 140 basis points. In addition to this, there were some one-off expenses of around 30 basis points related to stuff, which drove further pressure on margins. Excluding the 2 above factors as you may see, the underlying EBIT margin was stable compared to last year.
 More in detail, the positive EBIT contribution from top line was absorbed by more advertising and promotion activities, including store events, strategic to fewer sales. As well as an increase in our workforce to strengthen the organization structure, paving the way for the future growth. Turning now to CapEx on slide 18. 
 2018 was a year of investing, as we focus on driving sustainable organic growth. Here we had 9 net openings consisting of 29 openings and 20 closures. There were 123 projects dedicated to retail, mainly for relocation projects, of which there were around 90 for Prada. Our IT investment plan is part of the Group's broader digital transformation strategy, and it's now becoming a strategic asset in order to compete in this fast-changing market environment. CapEx was also allocated to expand our industrial capacity to ensure timely response to various demand of each market. As an example, in 2018, we completed our new logistic hub in Tuscany, which is part of a major plan to reorganize the warehousing and distribution for finished products. It is a state of our logistic hub, but also environmentally friendly and is a reference point for the Group cutting edge industrial structure. 
 Slide 19 provides an overview of how our net financial position has evolved during the period. As already mentioned, the operating cash flow has finance capital expenditure and contributed to the payment of EUR 198 million dividends. Net financial position was negative at the end of December and amounted to EUR 314 million. This year, the Board of Director has proposed a final dividend of EUR 155 million. This represents a dividend per share of EUR 0.06 a dividend payout ratio of 75%. With that, I would like to let Lorenzo, our Head of Marketing and Communication, to go through the innovative technology rollout throughout the company. 
Lorenzo Bertelli: Good afternoon, ladies and gentlemen. It's a pleasure to finally meet you all. Let me briefly introduce myself. I joined the company in September 2017. My focus so far has been supporting the digital transformation of the company, working together with Chiara Tosato. I have read [indiscernible] my role and my responsibility.
 Now we'll speak of marketing and communication. Today, I would like to discuss how the continued investment in our brand is also reflected in a series of rigid and planned strategic steps, to ensure the product group develops a best-in-class digital platform that reaches all consumer interaction points, without losing touch with our brand DNA.
 Let me update you on our tech rollout based e-commerce, investment technology and finally digital communication. Our focus this year has been on ramping up e-commerce activities with the aim of reaching global coverage for all brands by 2020. Successful stats in 2018 lead the strong double-digit growth in sales, both in our e-commerce platform and through e-tailers. 
 We have launched the new miumiu.com in Europe, new church.com and [indiscernible]. We have announced access to Prada and Miu Miu's online experience, which we call Pradasphere and Miu Miu Club. These are 2 emerging digital content archives providing access to the brands, the retailing around products, special project and events.
 Our focus in 2019 will be to invest more on the omnichannel experience of our platform and improve our customer journeys. We now have the technical capabilities that can be deployed to reach our consumer in a more efficient and effective way.
 As part of our broader digital transformation strategy, we're investing in technology to boost operational efficiency and effectiveness. Our investors are bringing benefits across the whole group, impacting more and more aspect of the business and deal activities. In terms of digital retail, we have the new mobile functionalities to the clientsphere in-store. Like wish list, stock amend, made to order, sales, analysis and newsletter. Investment in technology have been strengthening in order to improve the merchandising planning, increasing particularly the course of buying, replenishment and forecasting.
 Better customer service, thanks to the launch in 2018 of 5 regional hubs in Milan, New York, Tokyo, Shanghai and Hong Kong. In terms of CRM, we set up a data science team in 2018, and we are now implementing a data strategy through business analytics. We would be able -- we will enable us to better understand [ data explain in ] for ad-hoc campaign, and at the same time, we are increasing integration of data from stores and social media. 
 We are now finalizing a radio-frequency identification project that will improve logistic management to gather information from products, which are distributed through every channel. Finally, product integration will also be available to an app that we are developing.
 Finally, continuing from the first half of the year, we have placed a greater focus on digital communication with project-driving brand engagement and increasing brand visibility. Let me give you some example of how we have been ramping up over digital communication. The relaunch of Linea Rossa in September 2018 was supported by a program of events traveling across New York, Hong Kong, Tokyo, and Shanghai. The events were tailored based on the local clientele and the collection was well received, as also thanks to an effective digital campaign. To support the Prada Cahier bag, which has now become a bestseller, we launched a digital campaign called Prada Delivery Man, which was a cinematographic project direct by Ryan Hope. As for Miu Miu, 2 video project were very well received across social media. Iconic Wardrobe and Other Conversations, both focused on ready-to-wear collection. 
 We are also launching new digital channels allowing us better reach, younger and more local audience. For example, Twitter in Japan, both for Prada and Miu Miu in 2018. Kakao Talk in 2019, and the launch of Prada Spotify official profile this year to expand the Prada connection with the music world. 
 To summarize, it's clear that the digital transformation has rather created relationship with consumer making them even more aware of their purchasing choice. In this context, communication takes on even more strategic importance to effectively reach our customer. With this subject in mind, we will continue to invest in all our digital asset to create an increasing immersive brand experience with a unique and engaging involvement at all touch points. 
Alessandra Cozzani: Thank you, Lorenzo. I give the floor to Mr. Mazzi for the final remarks. 
Carlo Mazzi: Good morning or good evening depending on where you are. Getting our outlook when was, I can say, is that the strategic review process launched a year ago has already begun to show positive results as illustrated by Alessandra Cozzani in her review of numbers. The process of performing technological renewal has been set in motion, which remains ongoing.
 Through the digitalization of relations with customer, we expect further competitive advantages to emerge. In terms of organizational renewal, in addition to the pivot towards digital already reported, radical changes would be necessary in the coming months to allow the full development of the potential of our brands. It is on the basis of these plans that our expectation of a progressive recovery of volumes and margin is based. 
Alessandra Cozzani: Thank you, Mr. Mazzi, and now we can open the Q&A session. 
Operator: [Operator Instructions] Our first question comes from the line of Nicky Ito from MainFirst. 
Nicky Ito: Mr. Bertelli, Mr. Mazzi, Alessandra and Lorenzo, this is Nicky Ito from MainFirst. I just got 3 questions. My first question is on the markdown policy and the end of season sale. I just want some clarification whether you reduced the sale period in 2018 for the summer season and also the winter season? Or did you completely stop the sale within the full price stores? And did that sale policy already start in Fall/Winter '18 or will it start in the current Spring/Summer '19 season? How long -- how big do you think the negative impact is going to be on sales this year? My second question is on wholesale. What do you exactly mean by selective strategy? Is it more Miu Miu driven, given that Miu Miu decelerated quite substantially in the second half? And so, if you could provide more granularity in what caused the decline in wholesale in the second half that would be great. In the last 2 years, wholesale has seen quite a big volatility, more positive though. How should we look at wholesale this year? And my last question is also on the top line. For the slowdown in the fourth quarter, which is driven by Greater China and the U.S. In Greater China that sounds a bit counter-intuitive. Because if we look at your peers, there has been a sales repatriation to Greater China. And I understand that the macro environment has been volatile in the region. But besides that, do you think there was something that you missed in capturing the sales repatriation? And finally, if you could provide a trading update year-to-date within retail? And if possible, wholesale that would be great. 
Patrizio Bertelli: So this is Mr. Bertelli speaking as far as markdowns are concerned, let me specify that. We decided to stop doing markdowns from 2019 onwards. As far as 2018 is concerned, we had already reduced markdowns by as much as 30% I think. And what kind of impact we expect on the market? Well, first of all, we believe this decision is actually going to strengthen the brand's image. And in particular, it's going to guarantee higher margins for us.
 As to your question being on more selective, Mrs. Cozzani is going to answer that part of your question. 
Alessandra Cozzani: In talking about wholesale, when -- it's an ongoing strategy to progressively reduce the wholesale that we started many years ago. Do you remember that we have recently had some new relationship with e-tailer partners that had increased the wholesale level in the last couple of years? But we want to continue to work with the leading partner in the sector and -- including U.S. department stores. 
Nicky Ito: If I could jump in before you answer my last question. For the markdown policy, did you already have, any kind of commercial agreement with the wholesale? Because if I look at the past few years, I think your wholesale partners markdown-ed -- marked down your products way more than you did in your full price stores. So I'm just wondering, whether you are able to control that already in 2019? 
Patrizio Bertelli: Well you should know that international regulations and laws, essentially, do not allow us to give full control. I mean we can certainly give our guidelines and then each player is free to proceed the way he or she feels is more appropriate. However, there are some markets, especially the U.S. where markdowns are a fundamental fact of life, especially for some products. We are actually talking to our partners to try and reduce the timing of markdowns. But as far as the European market is concerned, I'm sure as that wholesale partners will comply with our guidelines, whereas our DOS is our own stores so that's not a problem, of course. I have to say that the question of markdowns is a policy that has become more and more diversified at the market because the market is generally flooded with products. And so there is a greater and greater tendency towards trying to cut markdowns. So can I take your question from China? So as far as China is concerned, of course I agree with you but maybe the biggest problem is, we'll need to increase our ability to manage the Chinese market. So we'll have to work in that market more and more intensively. Of course, the Chinese market has become more selective than it used to be in the past but as far as luxury brands are concerned, I don't think it's a challenging market. There's no good challenge there. Next question? 
Operator: The next question comes from the line of Luca Solca from Bernstein. 
Luca Solca: I was just wondering where you stand as far as supporting your brand in terms of digital marketing? And how much of the total, your digital communication and marketing budget represents? And by comparison, how big is the investment that you're making in the Americas companies? I seem to understand that you're doubling down on that with the institution of the Prada's Cup? How you went through the logic of increasing the commitment to that? And what do you expect in terms of potential advantages? Another question on digital. I'm intrigued by the fact that you're being now -- establishing a partnership with Farfetch for a few months. I wonder how you are working with them. And if you're satisfied with their approach -- in particular, to their approach to pricing? And if you commit to this kind of solution to accelerate digital development? And did you see a long-term commitment to platforms like that? And last but not least, if you could potentially elaborate on what you envisage as far as the development of the Miu Miu brand, which seems to be more effective at the moment in the apparel category. And what you are expecting to do in terms of leather goods in particular? 
Lorenzo Bertelli: It's Lorenzo Bertelli speaking. I will answer to your first 3 question and then my father will answer to the remaining questions. So about the digital budget, I can see that this split is generally between 50% digital and 50% other communication. We are increasing the general budget of the communication inside the Group, generally because for sure, we have to support it. We think that generally America's Cup as sport activity is very easy to be used create digital assets. It's very, like, young and can reach I think a younger audience then usually we would reach with Prada. And this is to answer to your first 2 questions. About digital partnership with Farfetch and other platforms, what I would say is, Farfetch is very important. We are looking to do some activity in the following months. We are working strongly with them. And because it's what you can try -- what you can sell on -- Farfetch is very related on what kind of activity you do on the other channels. And so now we are trying to work, like, more in a [ conserve ] way to develop a growth on marketplace and generally on e-tailers. So we have to take in consideration all the channel when you want to grow in marketplace especially.
 Through to other platforms, at the moment, only [ real ] marketplace where we are is Farfetch. We are looking to other marketplace, but nothing has been decided yet because you have to see if the market is ready for other marketplace, and if we are ready to go on other marketplace. But for sure, we have an eye on it, and it's part of a wider strategy. 
Patrizio Bertelli: As to Miu Miu, I'd like to answer by saying that we've just concluded a new collection, the leather wear and the leather -- and for Paris shows, and this was very much appreciated by our customers. It's true that as far as clothing goes, Miu Miu has a good trend. But ready-to-wear shows a positive trend, both for Miu Miu and for Prada. So our Group -- and also for Men. So our Group is very much committed in the development of ready-to-wear, because we believe our price-quality ratio is more than reasonable. 
Operator: The next question comes from the line of Thomas Chauvet from Citi. 
Thomas Chauvet: I have 3. The first one, sorry to come back to the retail like-for-like. I don't think I heard the numbers clearly. It seems you had about 3% like-for-like in H2, I remember, Alessandra, July was close to 10%, so could you comment on the [ LFR ] run rate in Q4 and January, February combined for the Group? How much has it slowed down too? Secondly, in your outlook comments, you referred to a progressive recovery in volumes and margins I think, in part, because of the disruption from the tech rollout and the industrial investments. What type of revenue growth margin expansion you're expecting this year? It looks like a year of transition and the as you can sense is EBIT margin for the year at 12.5%. On cost are you expecting the H2 cost inflation of plus 5% to be the new norm for the full year '19? And finally, on Prada handbags, there was a very interesting pipeline of new products last year. How much do you expect new lines to account for total handbag sales going forward? And can you perhaps comment on the contribution from volume and price mix in this important category? 
Alessandra Cozzani: Thomas, sorry for this delay in the answer. And I will take the first question. I will take the question related to the like-for-like. Of course, you have correctly noted that the second half has had a slowdown. But I had mentioned also during my comments that it was mostly related to a general macro environment that has been more uncertain, first of all. And talking about us but is -- in fact most particularly, Asia Pacific impacted by the slowdown. And within Asia Pacific, Hong Kong and Macau. And don't forget, of course, that the French process started beginning November, and this has impacted, not just the Paris market, where I have recalled that -- we had 16 closure in a row every Saturday. And this, not only impacted Paris, the Paris market, but impacted also the tourist flow towards Europe generally speaking. 
Thomas Chauvet: Have you -- Alessandra, have you like-for-like returned to positive in January, February? Could you help us understand where you are? 
Alessandra Cozzani: Talking about, let's say, the current rating in the beginning of 2019, I have said that we are quite in line with our expectation. 
Thomas Chauvet: Okay. So low single-digit like-for-like positive? 
Alessandra Cozzani: Of course, the like-for-like of the regular sales is positive, yes. I did mention regular sale, of course, because you have to remember that we are continuing with the decision of reducing markdown sales, and January was heavily impacted by this. 
Patrizio Bertelli: So this is Patrizio Bertelli speaking. I'll take your question on margins. As you will see from our documents, we did make investments in acquiring production facilities for footwear and leather goods. Because what's happening in Italy right now is that there is a pretty high level of conflict, so to speak, because all international brands are producing in our market, and so those who do own the factories are trying to protect their ground as much as possible. So the acquisition of those production factories is motivated by the fact that we want to keep a high-quality standard. Also, we should consider there's a whole generation turnaround in the industry. Many of the original business people and entrepreneurs have reached pension age. And so many times, their children do not want to continue their business. So there's a lot of generation turnaround in the industry. As far as margins are concerned, we believe that our product performance will allow us to absorb the higher structural costs that we are incurring right now. So in the next 2 years or so, these costs will be more than offset by bigger development in sales. As far as the development of different price points in our collections is concerned, I'm sure you realize, we did a lot of work there and we're still doing it, especially in the price range between EUR 1,400 and EUR 1,800 retail price. Of course, these tend to be the price points that give the best sales performance. 
Operator: The next question comes from the line of Rogerio Fujimori from RBC Capital Markets. 
Rogerio Fujimori: I have one regarding retail productivity for Prada and especially Miu Miu. It's a little lower than your peers. And then also when you think about your rental cost of sales in excess of 20%, also higher than your peers. So any actions -- any action plans in terms of improving this ratio? And any thoughts on the retail square meter footprint, especially for Miu Miu, anything that can be done? And my second question is on shoes. I think you flag the successful launch of sneakers and lifestyle propositions for both men and women. So I was just wondering how full-price sales trends for shoes are? What kind of trends you see for full price in shoes in recent months? 
Alessandra Cozzani: Rogerio, I will take the first question related to the rents. Honestly, I have to say that not now, but in the last -- at least in the last couple of years, we have progressively reduced the level of rent because we have renegotiated most of our lease agreement with the old landlord in Asia-Pacific and also in Europe and the level of rents -- and also in U.S.A., in U.S. And we have reduced the rent -- the fixed rent, but we have been also able to get better negotiation also in terms of variable rents. 
Patrizio Bertelli: As for shoes -- I'm Mr. Patrizio Bertelli. Yes, with sneakers in the last 18 months, we've had a consistent launch, and we actually got very positive results. And this trend will continue. I would say that sneakers are changing into more of a lifestyle type of shoe, more than a sneaker, which is considered as a running shoe, they're becoming lifestyle. So I think we've developed very interesting products, and I think we will be strongly competitive in the second half of 2019. So the trend is not so much the sneaker, but rather a lifestyle type of shoe for leisure time that can range from sneakers to sports shoes, again, with the idea in mind of having light and comfortable shoes. And as for prices -- sorry, I was forgetting. Prices are exactly in line with those of shoes. So the average price is EUR 550 for Prada and, if I'm not mistaken, EUR 490 for Miu Miu shoes. 
Operator: The next question comes from the line of Melanie Flouquet from JPMorgan. 
Melanie Flouquet: The first one is actually regarding gross margin. I wondered, Alessandra, if you could help us understand the dynamics of full year '19 on this important line, full year '18 and the hedging impact that we should continue to have in H1 '19. So I wondered whether at spot rate you could just quantify the pressure that we would get from that and on the other hand, the positive impact of promotion activity, if any, and initiatives on the manufacturing investments. So on the whole, if we take the positives and the negatives going through, what would you expect out of full year '19 gross margin, please? The second question is on the Americas. I appreciate that the deceleration in the second half seems to have been mostly due to Asia Pacific, but there was also one in the Americas. I was wondering whether you could help us understand what happened there and whether this recovered in January and February. And my third question is on inventories. They are up 11%, I think, if I'm not mistaken, in [ EMEA ]. Can you help us understand whether this is a change in the way you're actually delivering or the manufacturing or whether this level -- or in other words, whether you're comfortable with this level of inventories? And my last question is just really on the pipeline of products that are coming through. There are a lot in leather goods coming through and on bags for Prada. At the moment, we're seeing a lot of presence of the Odette. I was wondering whether this was just accidental and you just set the next one, the Sybille, et cetera, will be pushed in a similar manner in the future or whether Odette is actually one of the pillars -- the most important pillar that you foresee in full year '19 and beyond. 
Alessandra Cozzani: Melanie, I'll take the question related to the gross margin. That was clearly explained that the most important negative factor for the gross margin evolution this year was not just the hedging, but foreign exchange including the hedging. Honestly, the foreign exchange, including the hedging, is one of the most difficult things to forecast. So it's better to take under control the underlying evolution because with -- on top of the foreign exchange, let's say, that we don't have a lot of things to do. Having said that, of course, the gross margin will benefit in the next year from a better quality of sales. So more full-price sales, so less markdown. So we are expected to have a gross margin likely improving. Of course, I'm not able to give you a guidance on foreign exchange. 
Melanie Flouquet: So the likely improving excludes ForEx? 
Alessandra Cozzani: Sorry? 
Melanie Flouquet: The comment on likely improving would exclude any ForEx impact? 
Alessandra Cozzani: Exactly, exactly, exactly. 
Operator: There are no further questions. I would now like to hand back to the speakers for closing comments. 
Patrizio Bertelli: Melanie, I will take the question [indiscernible]. As I have already mentioned that this level of stock is reasonable, also considering [indiscernible] number of merchandising that we have at that -- to our collection here in the last couple of years, needs a higher level of inventory in the stores. It's, of course, if you want to -- we want to follow [indiscernible]. Don't forget that this is a level of inventory that I don't honestly think that it is high also because we came from a period where the level of inventory was even higher, and this was not a problem at all for the company. Talking about the strong pipeline of new models. Of course, we will continue to renew the collection with new models. And I think that we have accelerated the pace of introducing novelties in the last 18, 24 months, together with leveraging, of course, the iconic products, where we continue to refresh the model in order to have also in the iconic and in the bestseller collection some novelties to offer to the market. Regarding [indiscernible] related to U.S. market that is not doing -- is doing well, honestly, at the beginning of 2019, of course, particularly in the second half, was impacted by a lower level of touristic flow because of the strengthening of the dollar because the local consumption has remained quite good. 
Operator: The next question comes from the line of Louise Singlehurst from Goldman Sachs. 
Louise Singlehurst: Firstly, just on e-commerce. I wondered if you could just update us -- a simple question in terms of, are all the regions now fully omnichannel compliant? So I know Asia started first, then the U.S. And I just wondered where we were in the European rollout as well. And then just finally on e-commerce, how much of sales today are actually from your brand dot-com and e-tailers? So how much come from digital in total? And then just on the OpEx, I wondered if you can help us just try and understand the margin dynamics, and Thomas touched on this earlier, but in terms of how we can think about the underlying inflation plus growth that we should expect in that cost base going into 2019, cognizant obviously of the moving parts from the digital expense as well. But can you help us think about the moving blocks or the key items of the cost base and the growth there? 
Lorenzo Bertelli: This is Lorenzo Bertelli speaking. I will answer to your first 2 question. About like which countries are, let's say, fully omnichannel, but this is -- to say omnichannel depends on the quality of the omnichannel. So -- and then it will take hours to discuss about the [indiscernible]. But I can say that Europe, U.S.A. and China is where we are like already omnichannel. We have not reached yet the level omnichannel and -- that we are aiming to. And we have a big improvement this year, but they are omnichannel definitely. And about the percentage that we're delivering with our website on how much with -- for website or marketplace, I will say most of the sales come from our website. 
Louise Singlehurst: And how much is that, sorry, as a percentage? 
Alessandra Cozzani: Louise, I'll take the question related to the inflation rating, if I have understand well your question. Of course, in this kind of sector where the margin are quite high, the inflation rate increase has never been a real issue, if this was your question. 
Louise Singlehurst: I suppose to put it another way, Alessandra, can you help us think about the level of like-for-like that we really need for sustainable margin progressions, if we think about just a flat margin, the like-for-like that's required to obviously cover the cost of inflation? 
Alessandra Cozzani: Not really something different from what we have always said that with mid-single-digit like-for-like increase is enough to keep the level of margin flat, roughly speaking. 
Operator: The next question comes from the line of Paola Carboni from Equita. 
Paola Carboni: I have a question on your level of investment, which 2018 was a bit higher from at least what I had in mind. I don't know if there's anything we should be aware of as for your investments last year and what we could expect for the next couple of years. 
Patrizio Bertelli: This is Patrizio Bertelli speaking. For the next year, we believe industrial investments have been completed for the vast majority. So in the last 3 years, we have basically renovated all of our industrial facilities, and we completed this year for logistics. So they were a bit higher than you would expect because we actually found ourselves having to step in, in pretty challenging situations with some of our suppliers. Some of them were so mature in their growth that there was no future for them. So we decided to step in and take them out of dire straits. And we anticipated some investments that had originally been planned for 2019. The situation in Italy is not too brilliant for the raw material suppliers or for the different companies that we buy from because technology has changed the name of the game completely. Margins have become very low. People are getting older and older. The whole turmoil that goes on in the different parts of the world is certainly creating a lot of anxiety. And then for us to see in the markets, especially with France protests and Brexit and the shape of Italian politics is certainly not making people happy and living in true peace of mind, especially older people. So we have to step in, in some unpredicted investments. 
Alessandra Cozzani: Okay. If we don't have any other questions, we can close the call. Thank you very much for staying with us. And if you have any other details to understand, please feel free to call Alberto and Cynthia that are available for you. Good evening. 
Operator: Thank you. That does conclude our conference call for today.